Operator: Good day, and welcome to Exponent Second Quarter 2025 Earnings Conference Call. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Joni Konstantelos, Investor Relations. Please go ahead.
Joni Konstantelos: Thank you, operator. Good afternoon, ladies and gentlemen. Thank you for joining us on Exponent's Second Quarter 2025 Financial Results Conference Call. Please note that this call will be simultaneously webcast on the Investor Relations section of the company's corporate website at www.investors.exponent.com. This conference call is the property of Exponent, and any taping or other reproduction is expressly prohibited without prior written consent. Joining me on the call today are Dr. Catherine Corrigan, President and Chief Executive Officer; and Rich Schlenker, Executive Vice President and Chief Financial Officer. Before we start, I would like to remind you that the following discussion contains forward-looking statements, including, but not limited to, Exponent's market opportunities and future financial results that involve risks and uncertainties that may cause actual results to differ materially from those discussed here. Additional information that could cause actual results to differ from forward-looking statements can be found in Exponent's periodic SEC filings, including those factors discussed under the caption Risk Factor in Exponent's most recent Form 10-Q. The forward- looking statements and risks in this conference call are based on current expectations as of today, and Exponent assumes no obligation to update or revise them, whether as a result of new developments or otherwise. And now I will turn the call over to Dr. Catherine Corrigan, Chief Executive Officer. Catherine?
Catherine Ford Corrigan: Thank you, Joni, and thank you, everyone, for joining us today. I will start off by reviewing our second quarter 2025 business performance. Rich will then provide a more detailed review of our financial results and outlook, and we will then open the call for questions. Revenues in the second quarter were flat but exceeded our expectations, reflecting our team's disciplined execution and resilience in this dynamic environment. Demand for our failure analysis expertise drove growth in dispute-related activities, particularly in the construction, automotive and medical device sectors. Proactive engagements were led by risk management work in the utility sector, offset by softer demand for chemical regulatory work. Our broad portfolio that is diversified across industries, technical disciplines and the product's life cycle continues to support resilience in an environment of higher than unusual -- higher-than-usual uncertainty for our clients. We're pleased to see continued growth in litigation-related activities where the technical issues are increasingly novel and complex, and clients turn to us for extraordinary specialized expertise when the stakes are high. This market is fueled by rising safety and performance expectations with companies recognizing that they are under greater scrutiny and that the consequences of failure continue to escalate. These dynamics, coupled with our unmatched capabilities, continue to reinforce our competitive moat. Turning to our engagements in more detail. Reactive engagements in the quarter were driven by strong activity in the automotive sector related to advanced driver assistance systems as well as increased demand in complex construction-related matters. In medical devices, we supported high-stakes intellectual property issues alongside product liability and safety-related matters, leveraging our specialized technical knowledge, coupled with regulatory and industry expertise. Proactive engagements were led by risk management work in the utility sector, where we continue to evaluate the resilience of critical infrastructure and help mitigate safety risks for consumers and communities. A growing example of this is our wildfire work, where we are leveraging deep expertise in structural and electrical engineering, metallurgy and data science to develop advanced quantitative risk models that inform decision-making around system hardening, maintenance priorities and power shutoff strategies. We are encouraged by the progress we are making in headcount as our recruiting efforts gain traction. We began the year with a 5% to 6% headwind in technical full-time equivalent employees, but narrowed that gap to 2% by the end of the second quarter, and we expect headcount to be up in the third and fourth quarters. Our ability to attract top-tier talent is driven by a compelling employee value proposition, a development-focused culture and the opportunity to do impactful, challenging work. As we enter the second half of the year with encouraging demand across several key areas, we will continue strengthening our talented team that is already regarded as industry-leading. Looking ahead, Exponent is well positioned to capitalize on key market drivers at the intersection of safety, health and the environment. Our multidisciplinary experts are actively engaged in early-stage initiatives tied to transformative innovations, including distributed energy systems and large-scale battery storage, where we guide clients through the evolving risks and technical complexities of the energy transition. Our work in wildfire mitigation is expanding, reflecting the growing need for resilient infrastructure and risk reduction strategies in the face of increasing extreme weather. At the same time, we're leveraging our unique capabilities in scientific user research to support clients with their emerging artificial intelligence applications, such as evaluating human machine interaction across safety-critical systems like advanced medical devices and vehicles. We are also advising clients as they develop augmented and virtual reality technologies, helping ensure safety, reliability and quality of immersive user experiences. Our recent early-stage engagements represent significant long-term growth opportunities as innovations scale and become increasingly vital to industry and society. We are encouraged by the high potential activity across our business and are continuing to recruit strategically in our highest growth areas. In a world where innovation is rapidly accelerating and expectations around health, safety and the environment are rising, our clients are facing increasingly complex high stakes challenges. That's exactly where we excel. Clients turn to Exponent for our multidisciplinary insight, deep failure analysis expertise and decades of risk and regulatory experience. With a team of exceptional professionals and a strong reputation for delivering clarity in the face of complexity, we are confident in our ability to capitalize on these enduring growth drivers and deliver sustainable, long-term value. I'll now turn the call over to Rich to provide more detail on our second quarter results as well as discuss our outlook for the third quarter and the full year 2025. Rich?
Richard L. Schlenker: Thank you, Catherine, and good afternoon, everyone. Let me start by saying all comparisons will be on a year-over-year basis unless otherwise noted. For the second quarter of 2025, total revenues increased 1% to $142 million, and revenues before reimbursements or net revenues, as I will refer to them from here on, were approximately flat at $132.9 million as compared to the same period of 2024. Net income for the second quarter decreased to $26.6 million or $0.52 per diluted share as compared to $29.2 million or $0.57 per diluted share in the prior year period. During the quarter, the tax impact associated with share-based awards was immaterial compared to a tax benefit of $700,000 or $0.01 per share in the second quarter of 2024. Inclusive of the tax impact for share-based awards, Exponent's consolidated tax rate was 27.9% in the second quarter of 2025 as compared to 26.3% for the same period in 2024. EBITDA for the quarter decreased 7% to $37 million, producing a margin of 27.8% of net revenues as compared to $39.9 million or 30.2% of net revenues in the same period in 2024. This year-over-year decrease in margins was primarily due to the decrease in utilization, an increase in the other operating expenses largely associated with the Phoenix land lease renewal during June of 2024 and a decrease in miscellaneous income due to the loss of a tenant at our Menlo Park facility. Billable hours in the second quarter were approximately $359,000, a decrease of 6% year-over-year. The average number of technical full-time equivalent employees in the second quarter was 958, down 2% as compared to 1 year ago. Utilization in the second quarter was 72.1%, down from 75.1% in the same period of 2024. The decrease was due, in part, to the inclusion of the July 4 holiday in the second quarter, which resulted in 1 less day of billable activity compared to fiscal 2024 when the holiday occurred in the third quarter. For the quarter, our utilized -- our realized rate increase was approximately 5% as compared to the same period a year ago. This is a result of our premium position in the marketplace, unparalleled talent and differentiated interdisciplinary expertise. In the quarter, compensation expense after adjusting for gains and losses in deferred compensation increased 2%. Included in total compensation expense is a deferred compensation gain of $17 million as compared to a gain of $875,000 in the same period of 2024. As a reminder, gains and losses in deferred compensation are offset in miscellaneous income and have no impact on the bottom line. Stock-based compensation expense in the quarter was $2.1 million as compared to $2.3 million in the prior year period. Other operating expenses in the quarter were up 8% to $12.1 million, driven primarily by the increased noncash expense associated with our Phoenix lease extension. Included in other operating expenses is a depreciation and amortization expense of $2.5 million for the second quarter. G&A expenses increased 2% to $6.1 million for the quarter. Interest income increased to $2.3 million for the quarter, driven by an increase in cash and cash equivalents. Miscellaneous income, excluding the deferred compensation gain, was approximately $331,000 for the quarter. During the quarter, capital expenditures were $2.3 million. We distributed $15.2 million to shareholders through dividend payments and repurchased $27.7 million of common stock at an average price of $75.66. Turning to our segments. Exponent's engineering and other scientific segment represented 85% of net revenues in the second quarter. Net revenues in this segment increased 1%, driven by demand for Exponent's dispute-related services in the construction, automotive and medical device sectors. Exponent's environmental and health segment represented 15% of net revenues in the second quarter. Net revenues in this segment decreased 4% due to a lower level of activity for proactive projects in the life sciences sector and our chemical regulation services. Turning to our outlook. For the third quarter 2025, as compared to 1 year prior, we expect revenues before reimbursements to be up in the middle single digits and EBITDA to be 26.75% to 27.75% of revenue before reimbursements. For fiscal year 2025, we are maintaining our full year guidance. We expect revenues before reimbursements to grow in the low single digits and EBITDA to be 26.5% to 27% of revenues before reimbursements. As a reminder, the 13-week fourth quarter of this year will be compared to a 14-week fourth quarter in fiscal 2024. As a result, we will experience a year-over-year revenue headwind of approximately 6% due to the decrease in workdays in the fourth quarter of 2025. We expect year-over-year technical full-time equivalent employees to be up approximately 1% to 2% for the third quarter. We are pleased to be returning to headcount growth as we started the year with a 5% to 6% deficit in FTEs. This growth in headcount is a result of our recruiting activities and a normalized turnover rate. As such, we are now -- we are starting the third quarter with headcount up approximately 1% as compared to the beginning of the second quarter of 2025. Based on our acceptances and these trends, we expect at year-end that headcount will be approximately 4% higher than at the start of the year. We expect utilization in the third quarter to be 72% to 73% as compared to 73% in the same quarter last year. For the full year, we expect utilization to be approximately 72% as compared to 73% in 2024. We expect the year-over-year realized rate increase to be 4% to 5% for the third quarter and the full year. For the third quarter, we expect stock-based compensation to be $5.3 million to $5.5 million. For the full year, we expect stock-based compensation to be $23.5 million to $24 million. For the third quarter, we expect other operating expenses to be $12.5 million to $13 million. For the full year, we expect them to be $49.5 million to $50.5 million. As noted in prior quarters, the year-over-year increase in the full year other operating expenses is largely driven by the extension of our Phoenix lease. For the third quarter, we expect G&A expenses to be $7.5 million to $8 million. For the full year, we expect them to be $24.8 million to $25.5 million. The increase in G&A for the third quarter and full year is primarily due to an expense of approximately $2 million for a firm-wide managers meeting in September of 2025. The meeting is an important investment in people development that bring together our multidisciplinary teams, develop our key talent and foster the next generation of leaders and business generators. We expect interest income to be $2 million to $2.2 million per quarter for the remainder of 2025. In addition, we anticipate miscellaneous income to be approximately $200,000 per quarter for the remainder of the year. We continue to work to replace the rental income we lost in our Menlo Park facility. For the remainder of 2025, we do not anticipate any additional tax benefit associated with share-based awards. For the third quarter of 2025, we expect our tax rate to be approximately 28% as compared to 27.5% in the same quarter 1 year ago. For the full year 2025, the tax rate is expected to be 28.5% as compared to 26% in 2024. The increase in the tax rate is due to a decrease in the tax benefit from share-based awards. Capital expenditures for the full year 2025 are expected to be $10 million to $12 million. In closing, we are excited about our prospects for future growth. I will now turn the call back to Catherine for closing remarks.
Catherine Ford Corrigan: Thank you, Rich. Exponent thrives amid disruptive innovation and evolving regulations. In an era marked by the rapid development of complex new technologies, we remain focused on helping our clients navigate an ever-changing landscape. Today's engagements are laying the foundation for tomorrow's opportunities, and we will continue to deepen our expertise, attract top talent and invest in the development of our exceptional team. As we look ahead, we are confident in our ability to leverage our competitive advantages and help our clients face their toughest challenges to drive sustainable growth and deliver long-term value for our shareholders. Operator, we are now ready for questions.
Operator: [Operator Instructions] The first question comes from Tobey Sommer from Truist.
Tyler David Barishaw: This is Tyler Barishaw on for Tobey. Just wanted to start with the utilization. You mentioned last quarter that there was a little bit of caution built into it beyond just the July 4 holiday. I was wondering if you could explain how the utilization played out in the quarter? Was it all July 4 that causes the decline year-over-year?
Richard L. Schlenker: Yes, I'll take that. So we did see the utilization come down 300 basis points there. I'd say half of that is related to the holiday and the other 150 basis points is really just a step down in the utilization off of a strong utilization last year at 75% and the continuing integration of more hires this year as we are moving through the year. So those are the factors contributing to it in the short term.
Tyler David Barishaw: Got it. And then maybe can you just discuss trends throughout the quarter? How did clients respond to easing tariff uncertainty, new trade deals? Just curious how that played out throughout the quarter.
Catherine Ford Corrigan: Yes. We're seeing -- certainly, our clients are mindful of that, and they are also mindful of their long-term product strategies. We have seen, for example, a little bit of softness that we cited in the chemical sector. A little bit -- there are clients who are looking to import their products into the United States or export their products coming to the United States. And there's a little bit of wait and see that we're picking up there because of the uncertainty in the tariff environment, right? So that can create a little bit of a delay in some of the engagements in terms of those dossier projects, those product renewals and so forth. So that is something that we've seen. And in terms of the tariffs, that's across other industries as well. We see issues in the -- you think in consumer electronics, but the positive driver there really is around the complexity of the supply chain and our clients really looking at their longer-term strategies around their supply chain. That kind of disruption, over the long term, I think, has an opportunity for us in it because of the complexity of that and our expertise around product quality and so forth. And so there is certainly an effect around the edges as we saw in the chemical space. But broadly, our clients continue to want to push their chemicals through that regulatory environment, and they are looking for ways. Even in the face of slowing at the EPA, for example, they are looking for ways to support that process and continue that along.
Tyler David Barishaw: Yes. Super helpful. And then just wondering if you can provide any preliminary thoughts on the revenue outlook for next year. Should we be thinking about a return high single digit, low double digit or a little more gradual, maybe mid-single digit for 2026?
Catherine Ford Corrigan: Yes. So of course, we're just in the beginning of doing our planning process for 2026. But what I can do is really give you my perspective on what's driving the market and why I'm encouraged in that sense when we think to not only the second half of '25, but also into 2026. When I look out there, I'm really excited by what we're seeing in wearables and sensors. This is particularly true around human health applications. There's a hardware side to this, of course, more power, smaller spaces, advanced displays, new form factors, the heightened expectations of performance of those sensors. So that's a driver. But probably the even bigger piece of that is the human interface and the data side of that, right? We have an incredibly unique value proposition that crosses from the hardware to the human, whether it's the cognitive interface or the physical interface. And this touches both the electronics and life sciences industries for us. So we're seeing more early engagements. We are building a more diversified client base in both of those industries. It's heavily regulated. It's safety critical. It's getting more and more complicated, and those safety expectations are ever heightened. So a lot of excitement there. Another place I would cite, Tyler, is the energy space. We've got a lot of dynamics right now in terms of how much emphasis is being placed on renewables versus more traditional sources of energy. But the reality is that the demand for power is growing incredibly, and we have an aging infrastructure to distribute it. We have new technologies and more complicated technologies coming online to try to meet that demand. We have new infrastructure in terms of data centers and distribution. We have deployments of new energy technologies not meeting expectations, and we're seeing that in the disputes area. We're well positioned for that. The proactive work in utility risk, we are seeing a diversification of our client base there, and that imperative is growing distributed energy systems as well to power the data centers, small modular reactors, battery energy storage systems, et cetera. So a lot of excitement there that involves a lot of our disciplines. I would cite, of course, automotive. This is advanced driver assistance systems moving into more fully automated fleets. We're seeing increased complexity in our litigation matters. Last year or the year before, it's, oh, you should have had the technology and you didn't. But now it's about you have the technology and it didn't perform. It's an even more complicated question where you have to dive in to the algorithm and have unique ways of testing the capabilities. So really excited there. And finally, I would just cite the accelerated adoption of AI into safety-critical and performance-critical systems. We operate around the product life cycle there. You've got the data side coming in. What is your strategy for the data that you're going to use to train your algorithm properly? You want to build the model that leverages AI, but also leverages the laws of physics. AI is about correlation, right? Past performance is predicting future results. We are adding that layer of subject matter expertise to get causation into the equation when you really need to get the right answer. We are uniquely positioned for that with our deep roots in failure analysis and in engineering and scientific systems. So Rich may want to add in terms of going forward, but that's just a bit of my feeling about the areas that we're most excited about.
Richard L. Schlenker: Yes, Tyler, just getting back also to your quantitative question. Again, as Catherine indicated, we're still at the early stage of developing our detailed plan for 2026 and, in turn, providing that guidance at the beginning of -- end of January, beginning of February. But look, I think we are on -- in a position, which I stated before, where I think we are going to be able to start the year at least at this 4% headcount growth, approximately in that range. I think that brings us back into what we talk about really being our growth algorithm of having headcount that's in that 4% to 8% growth a year. I think we can just build off of what we've got at 4% starting the year and go from there. I think you're going to be able to see -- I don't think we're going to realize 5% -- 4% -- 5% again next year in rate probably, but I think we'll get back to a more normal rate realization. It might be in that 2.5% to 3.5% range, depending on where the economy is and different things of that type. And I think where we -- the utilization, as we said, will come in approximately at 72% for this year. I think that provides a good foundation for us to build off of going forward. So I think we're setting ourselves up for a good position going forward.
Operator: The next question comes from Josh Chan from UBS.
Karandeep Singhania: This is Karan Singhania for Josh. I was hoping if you could share with us how did the growth rates trend in the proactive and reactive book in the quarter?
Richard L. Schlenker: I'm sorry. There was noise outside. Can you repeat that question?
Karandeep Singhania: Sorry, yes. I was hoping if you can just share with us how did the growth rates in the proactive and the reactive side of the business trend in the quarter?
Richard L. Schlenker: Yes. So the growth rates were very similar. They're both within, give or take, 1% on the growth rate there. So there really wasn't a big distinction in that overall. I think the one interesting very, I think, positive variable vary though in that reactive side which was, let's call it, up 1% is really that our litigation or disputes-related work grew 7% year-over-year. That's on top of similar growth of that level or higher in the prior 2 years where we've had strength. And while that was offset by a few larger regulatory matters that we had ongoing last year that stepped down, which tend to be -- can have a little bit of timing related to them and be a little different. The majority, which is 90% of our -- 85%, 90% of our reactive work is really in that disputes area, and it just continues to be -- show good strength. And I think there are -- as Catherine laid out, there are a number of market drivers that I think will not only see this growth continue, but potentially increase its rate.
Karandeep Singhania: Got it. And maybe as my follow-up, I think last quarter, you mentioned that there were some delays with clients pushing out work and especially when it comes to work related to the federal regulators. So maybe if you can discuss whether the regulatory environment has improved, remained the same or worsened? And are you still seeing any -- are you starting to see any impact on demand from that?
Catherine Ford Corrigan: Yes. Thanks for that. So I alluded to that a little bit a few minutes ago with regard to the EPA in particular. We -- that's mostly our chemical regulatory type work that is potentially impacted by movement at the EPA. There have been lots of staff layoffs and a lot of turnover there. Most of the work continues to go through. But there is a layer where clients are perhaps waiting for a decision that is taking a bit longer from the FDA, and that's creating a little bit of a delay. This is not -- this is around the edges to some extent. It's not really significantly impacting that. But in other places such as medical devices, we're not seeing, I would say, as much of an effect there when it comes to FDA- related work. We continue to see demand for a lot of our regulatory work in medical devices that involves some of our sophisticated laboratory testing, our regulatory advisory work. So I think that those clients are very committed to pushing their global product strategies and getting that work done, and they are finding ways to do that. So I think the upshot of that is, yes, there's a little bit around the edges, but most of that work is continuing and clients are finding the way to do that.
Operator: Thank you. This concludes our question-and-answer session. The conference has now concluded. Thank you for attending today's presentation. You may now disconnect. Thank you.